Operator: Good day and welcome to the NCR Corporation First Quarter Fiscal Year 2023 Earnings Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Mr. Michael Nelson, Treasurer and Investor Relations. Please go ahead.
Michael Nelson: Good afternoon and thank you for joining our first quarter 2023 earnings call. Joining me on the call today are Mike Hayford, CEO; Owen Sullivan, President and COO; and Tim Oliver, CFO. Before we get started, let me remind you that our presentation and discussions will include forward-looking statements. These statements reflect our current expectations and beliefs, but they are subject to risks and uncertainties that could cause actual results to differ materially from those expectations. These risks and uncertainties are described in our earnings release and our periodic filings with the SEC, including our annual report. On today’s call, we will also be discussing certain non-GAAP financial measures. These non-GAAP measures are described and reconciled to their GAAP counterparts in the presentation materials, the press release dated May 4, 2023, and on the Investor Relations page of our website. A replay of this call will be available later today on our website, ncr.com. With that, I would now like to turn the call over to Mike.
Mike Hayford: Thanks, Michael. I will begin with some of my views on the business, and I will also provide an update on our previously announced intention to separate NCR into two public companies, including our recent announcement of our leadership team. Tim will then review our financial performance and then Owen, Tim and I will take your questions. Let's begin on slide five with some highlights from the first quarter. First, NCR delivered strong performance that included solid top line revenue growth and significant margin expansion and delivered over $200 million of free cash flow which puts us on track to delever prior to the spin. Second, we are on track to separate NCR into two public companies in the fourth quarter of 2023. Following Tim's comment on our financial results, I will provide an update on those separation activities. Third, we delivered 4% year-over-year total revenue growth on a constant currency basis and 7% recurring revenue growth, also on a constant currency basis in the quarter. I think, it's important to note that the 4% growth would have been 7% without the impact of shifting to subscription. Fourth, adjusted EBITDA increased 19% on a constant currency basis from the first quarter of 2022. Adjusted EBITDA margin expanded to 16% this quarter, which represents a 150 basis point increase over the first quarter of 2022. Fifth, NCR generated $209 million in free cash flow in the quarter. Over the past two quarters, we have generated over $400 million of free cash flow, allowing us to reduce financial leverage ahead of the separation. And finally, I want to provide an update on the cybersecurity incident we experienced. On April 13, we determined that a single data center outage that impacted sub functionality for a subset of our commerce customers was caused by cyber ransomware incidents. At this time, we are well on our way of recovering the majority of the most critical functions impacting our customers. None of our ATM, digital banking, all point payments or other retail products were impacted by this incident. And while this was contained to a relatively limited set of our overall customer base, we absolutely understand how difficult this incident has been for those impacted customers. We take their business extremely seriously and we sincerely apologize for any disruption this has caused. Now, moving to the business update on slide six. We have strong momentum across all five of our business segments, with progress against our strategic initiatives along all of our KPIs. In retail, we continue to deliver on our strategy through the retail platform company of choice. During the first quarter, NCR expanded its relationship with the second biggest retailer in the U.K. The customer committed to increasing the number of NCR self-checkout units, while also signing A Special Services Agreement to a multiyear subscription model to help transform their in-store solutions. In hospitality, we continue to experience strong demand across the enterprise and SMB customers. In SMB, our payment attachment for new customers remained roughly 90% driving a 50% increase of payment site. In Enterprise, we expanded our relationship with the world's largest food -- fast food chain to be the cell provider for digital menu boards in the U.S. In digital banking we continue to have positive momentum in the first quarter. Digital banking sales activity was strong with 12 new customer deals and 12 digital banking renewals. Last week NCR signed an agreement with North Carolina, State Employees' Credit Union SECU the second largest credit union in the U.S. with over 2.7 million members and more than $50 billion in assets to transform its members' digital banking experience. This new partnership will help deliver more modernized banking -- digital banking capabilities for SECU's members and employees. This will deliver a modernized digital technology platform for the credit union will advance NCR's digital first market position in the large regional financial institution segment. In Payments and Network, we are making progress against both merchant acquiring and the Allpoint network. North America ATM withdrawals and cash dispense are at a six-plus year high. International market expansion continues to accelerate with over 100 merchant contracts signed in Portugal and over 50 merchant contracts signed in Greece. During the first quarter we added new payment transaction capability to our Pay360 platform through a partnership with Payfare which allows gig workers to access cash in their accounts with a simple secure code via Payfare's Digital Banking App. In self-service banking we continued momentum in our ATM-as-a-Service Solution. There has been concern from our investors regarding the potential impact of NCR in the current banking prices. We had a strong first quarter in self-service banking and do not expect a slowdown given the current macro environment. Interest in our offering is accelerating from both community banks and large FIs globally. In the first quarter we signed six ATM-as-a-Service deals including, First Citizens Bank with over $100 billion in total assets and over 500 ATMs and full end-to-end management ATM solution. And we partnered with member ATM Alliance where NCR is now the exclusive provider of ATM-as-a-Service Solutions for the Alliances' Credit Union members. With that, let me pass it over to Tim.
Tim Oliver: Thanks Mike and thanks to all of you for joining us today. As Mike just summarized, in the first quarter we drove substantial growth in recurring revenue, expanded our profit margins particularly at gross margin and generated over $200 million of free cash flow. A year ago we were faced with a series of unanticipated geopolitical and macroeconomic challenges, that had a significant impact on our business in the first quarter and it compounded across the remainder of the year. At that time we outlined our efforts to control the things that we could. Productivity, price, cost efficiency and customer support level. Those efforts enable the recovery of our reported financial metrics and insulated our customers from our supply chain disruption and our labor challenges. And those early 2022 actions have now been augmented with further cost productivity actions in both Q4 and in this Q1 to generate incremental savings to offset any dis-synergies arising from the planned separation into two separate public companies. This quarter's results are demonstrative of an exceptional effort of our teams to simultaneously drive financial results, accelerate our strategic plan and ready the company for a pending separation transaction. I'll start on slide 7 with a top level overview of our first quarter, which for every guided metric we painted at the high end of the ranges we provided back in February. Starting in the top left revenue was $1.9 billion up 1% year-over-year as reported and up 4% on a constant currency basis. Recurring revenue was up 4% year-over-year and up 7% adjusted for FX. We continue to have success transitioning from onetime perpetual sales into multiyear subscription-based revenue stream. The nature of these contracts shifted $60 million of high profit revenue from what would have been previously recognized upfront to recurring revenue that will convert over the next several years. This intentional deferral of upfront revenue to recurring revenue lowered total revenue growth by three full points. The strong US dollar compared to the year ago period had an unfavorable impact of $45 million primarily within our retail and self-service banking segment. Adjusted then for FX and the shift to recurring revenue total revenue growth would have been about 7%.  In the top right adjusted EBITDA increased $31 million year-over-year to $302 million up 11% year-over-year as reported and up 19% on a constant currency basis. Foreign currency exchange rates had an unfavorable impact of $18 million. Adjusted EBITDA margin expanded 150 basis points from the first quarter of 2022 to 16%. The increase in margin was driven by lower direct costs such as reductions in fuel, shipping and component costs as well as the impact of indirect cost mitigation actions and a higher-margin revenue mix. The benefit of lower direct costs similarly added to a 190 basis point increase in adjusted gross margin rate. On the bottom left, reported non-GAAP EPS was $0.56 up $0.03 or 6% year-over-year as reported and up 27% on a constant currency basis. The strength of the US dollar reduced EPS by $0.09. The non-GAAP tax rate was 27.4% versus 24.8% in the prior year that reduced EPS by about another $0.02. And finally we generated $209 million of free cash flow from both higher profitability and the anticipated improvements in our working capital. Back in October, we described our desire to generate at least $500 million of free cash flow before the separation transaction to reduce our financial leverage. In the first two quarters of those five we've already generated $400 million of that bogey. Moving to slide 8 which shows our retail segment results. Starting in the top left retail revenue increased 1% year-over-year as reported and increased 4% adjusted for FX driven by growth in services and point-of-sale hardware. We also shifted roughly $15 million of high profit revenue that would have previously occurred upfront to recurring revenue that will be recognized over the next four to seven years. This intentional deferral of upfront revenue to recurring revenue lowered revenue growth in retail by three points. Adjusted for FX and the shift to recurring revenue retail revenue would have grown 7%. First quarter adjusted EBITDA increased 45% year-over-year and 70% adjusted for constant currency resulting from improvements in component labor and freight costs as well as other cost mitigation and pricing actions taken in the latter part of 2022 and even again in early 2023. The adjusted EBITDA rate was 17.6% up 530 basis points over the prior year. The bottom of the slide shows retail segment key performance indicators. On the left Platform Lane a KPI that illustrates the success of our strategy to convert our retail customers to our platform-based subscription model. We increased our number of platform lanes by 33000 lanes or 125% year-over-year. At the time of conversion, platform lanes drives an incremental $400 of ARR for an increase of $12 million versus last year. The platform lane increase was driven by rollouts in major convenience and fuel customers. While platform lanes currently represent less than 5% of our total lanes, we see accelerating momentum for the conversion of our traditional lane and have a substantial lane conversion backlog. And once on the platform, the opportunity to upsell and cross-sell new features and functionality drives further ARPU expansion. In the center bottom is our self-checkout revenue. Self-checkout revenue was flat year-over-year on a trailing 12-month basis. And ARR was flat year-over-year, similar to the impact on revenue, currency rates did affect all of our ARR calculations, including this one. Hospitality segment results, this chart shows results and illustrates the momentum across this business. Hospitality revenue increased $12 million or 6% year-over-year as reported and 7% adjusting for currency, driven by an increase in services and software revenue, including cloud services and payment processing. Adjusted EBITDA was up 29% year-over-year. Adjusted EBITDA margin rate expanded 440 basis points to 24%, a richer mix of software and services revenue, pricing and cost reductions all helped push margin rate higher. Hospitality's key strategic metrics on the bottom of this slide includes platform sites, payment sites and ARR. Platform sites increased 16% and payment sites increased 50% and ARR was up 12% year-over-year on higher ARPU at both platform and new payment sites. The average conversion to platform sites currently drives an incremental $7,000 a year in ARR, while the average conversion to payment site currently drives an incremental $4,000. Combined, the additional platform sites and payment sites contributed an incremental $35 million in ARR year-over-year. We continue to see strategic momentum in this business as enterprise clients transition to the platform and expand their functionality and SMB clients attach payments. Turning to slide 10, which shows our Digital Banking segment. Digital Banking revenue was flat year-over-year. The two-third of our revenue that is driven by user count increased in this quarter on higher used accounts and led to higher recurring revenue. This increase was offset, however, by lower nonrecurring revenue that can be lumpy. Adjusted EBITDA was down 13% year-over-year due to lower nonrecurring software revenue and enhanced investment in sales, marketing and R&D to grow this business faster. Adjusted EBITDA margin rate was 36%. Digital Banking's key strategic metrics on the bottom of this slide include registered users, active users and annual recurring revenue. Registered users increased 8%, active users increased 6% year-over-year and Digital Banking's core business growth is evident in our year-over-year increase of 7% in ARR. On Slide 11, we do some easy math to help you evaluate the combined segment of retail, hospitality and digital banking. These segments will form NCR RemainCo after the separation transaction. This roll-up is for directional indications only. The eventual financials for this company will be impacted by currently unallocated corporate costs by revenue and profit adjustments that reflect the planned perimeter of the transaction and by synergies or dis-synergies that result from the spin. The combined adjusted EBITDA was up 29% year-over-year adjusted for FX, with an adjusted EBITDA margin rate of 22%. Let's move to Slide 12. This is our Payments & Network segment. Starting in the top left. Payment and Network revenue increased $24 million or 8% year-over-year and 11% adjusted for FX driven by higher transaction volumes and an increase in payment processing. Adjusted EBITDA declined $15 million or 15% year-over-year and 14% adjusted for FX. More than all of this decline was caused by 10 interest rate hike aggregating five full points over the last three quarters raising our ATM cash rental costs this quarter by approximately $40 million on a gross basis and $22 million on a net basis after our mitigation efforts. Adjusted EBITDA margin rate was 26% down compared to the previous year on the same cash rental costs. Our cash rental costs are calculated using short-term interest rates which have been and will continue to affect our results. That said, the hedging program, algorithm and operational optimization and pricing adjustments or protection mitigates some of the impact of interest rates. As a result interest, rate net impact during the quarter was $22 million and we project an additional impact of $20 million across the rest of the year. The bottom of this slide shows payments and network key strategic metrics. On the bottom left end points increased 2% year-over-year. In the center bottom our transaction, a KPI that illustrates payment process across all of our Allpoint network and across our merchant acquiring network. Transactions were up 2% year-over-year on a trailing 12-month basis fueled by ATM withdrawal growth of 6%. The rise in both the frequency withdrawals and the amount withdrawn per transaction led to a 13% year-over-year increase in the total amount of cash dispensed globally. Annual recurring revenue in this business increased 8% year-over-year. Slide 13 shows our self-service banking segment results. Self-service banking revenue was flat as reported and up 4% on a constant currency basis primarily due to growth in recurring revenue which was up 10% on an FX-adjusted basis over the prior year. We continue to have success transitioning our self-service banking business from onetime perpetual sales into a multiyear subscription-based revenue stream. During the quarter we shifted roughly $38 million in revenue that would have been upfront previously to recurring revenue, intentional deferral of upfront revenue from recurring revenue lowered revenue growth by six points. Adjusted for FX and the shift to recurring revenue self-service banking revenue growth would have been 10%. While a quarter ago our outlook for this business suggested a full year 2023 decline in revenue strong results and strong demand in Q1 suggests that this business could now deliver full year revenue similar to that in 2022 even after $150 million or nearly six points of growth is shifted to recurring revenue as part of our ATM-as-a-Service offering. Adjusted EBITDA increased 23% year-over-year and was up 33% FX consistent basis. Adjusted EBITDA margin rate was 23%. The remarkable margin expansion from the previous year can be credited to the reduction in direct costs particularly in expenses related to fuel and components as well as the increase in the higher-margin recurring revenue stream. The bottom of the slide shows our self-service banking segment key metrics. On the left, Software and services revenue mix was flat. ATM service units increased 293% year-over-year to 17,000 units. We experienced significant growth in India and incremental growth in the United States. The shift to recurring revenue continues to gain traction with ARR up 5% year-over-year. On Slide 14, similar to the view presented on Slide 10, for NCR RemainCo and with similar caveats, this slide showcases the combined segment results for payments and network and self-service banking, which are the segments that will comprise NCR ATMCo after the separation transaction. As I said before, the unallocated revenue and corporate costs are not reflected here. The combined revenue for these segments increased $24 million or 3% year-over-year as reported and 6% adjusted for currency. The combined adjusted EBITDA was up 10% year-over-year, adjusted for FX with an adjusted EBITDA margin rate of 23%. Turning to Slide 15, which describes free cash flow net debt and adjusted EBITDA metrics to facilitate leverage calculations. As we said before, we generated $209 million of free cash flow in the quarter, driven by higher profitability and an improvement in working capital with the cash conversion cycle improving by two days. Our goal to generate $500 million in free cash flow before the separation transaction, to reduce financial leverage has been well communicated. We have now generated $400 million of free cash flow over the last two quarters, and are positioned well to meet our targeted leverage. The slide also displays our net debt to adjusted EBITDA metric, which has improved to a leverage ratio of 3.6 times down from 4.1% in Q1 of 2022 and driven by higher profitability and cash generation. We remain well within our debt covenants, and have significant liquidity with over $875 million available, under our revolving credit facility. We possess a robust balance sheet, ample liquidity and strong financial stability to support our growth and the spin transaction. On Slide 16, we present our second quarter outlook and reaffirm our full year 2023 guidance. For Q2 2023, we expect revenue of $1.9 billion to $2.0 billion, adjusted EBITDA of $340 million to $360 million and non-GAAP EPS of $0.70 to $0.76. We anticipate generating free cash flow of approximately $50 million. For the quarter, we have assumed a tax rate of 27% to 29% a share count range of 153 million to 154 million shares and interest expense of $88 million. For the remaining two quarters of 2023, we expect relatively linear sequential quarterly improvements across most financial metrics.  With that, back to you Mike.
Mike Hayford: Thanks, Tim. And I'm going to continue on Slide 17 with the NCR separation roadmap. Our go-to-market teams are organized by industry under our general manager unit. These teams are ready and have been ready for the spin. Additionally, there are areas of shared service functions such as legal, tax, HR, treasury IT and others that are well underway in the process of preparing for the separation. We are planning on submitting our Form 10 registration statement very shortly, and then the timing of the separation will be largely dependent on the SEC process and the state of the capital markets. We have already submitted a letter with the internal revenue service, regarding the tax-free nature of the separation. We intend to delever through the generation of free cash flow between now and the separation, which is expected to occur in the fourth quarter of 2023. At this time, we're expecting the timing to be early in the fourth quarter. This of course, is dependent on clearing the SEC process and a favorable capital markets environment. In closing, on Slide 18, looking forward our key priorities are clear. First, we are on track to separate NCR into two public companies in the fourth quarter. Upon separation, we believe each company will benefit from increasing operating and financial flexibility, in pursuit of respective and distinct opportunity set. We believe that spinning of NCR's ATMCo in a tax-free distribution, is the best path to unlock shareholder value. But if other alternative options become available in the future that could deliver superior value, such as a whole or partial company sale of NCR. The Board continues to remain open to considering these alternative scenarios. Second, we expect the cybersecurity recovery to be mostly behind us in the near future. While our recovery process is ongoing, we quickly established a recovery path which included building out a new cloud environment. At this time, our most critical applications have been brought fully back online safely and securely and the majority of customer functionality has been restored. Over the next six months we will redouble our efforts to protect our system from cyber attack. Third, our teams are focused on our customers and executing our plan for 2023. As our success in the first quarter shows we are off to a good start in 2023 and expect to drive sequential quarterly operating and financial improvement throughout the remainder of the year. And finally, I want to congratulate our CEO Designate post separation, Tim Oliver and David Wilkinson. Tim and David have contributed greatly to NCR and are highly qualified to lead the two companies. On separation Tim will assumed the CEO leadership role of NCR ATM SpinCo while David will assume the CEO role of NCR RemainCo. Until the separation Tim will continue in his role as CFO of NCR and David will continue in his role as President of NCR Commerce. I look forward to working with both of them to execute a smooth and effective transition as the companies take the final form. On a personal note, I couldn't be more excited for both Tim and David taking our companies forward in creating two great NCRs. I also want to congratulate Joe Reece who was elected the Chair of NCR Board earlier this week. And then last, a special thanks to Frank Martire who retired on Tuesday as Executive Chair after five years in that role at NCR. This concludes our prepared remarks for today. With that, we will open the call for questions. Operator, please open the line for questions.
Operator: Well, thank you. [Operator Instructions] And our first question comes from Paul Chung with JPMorgan. 
Paul Chung: Hi. Thanks for taking my question and nice execution here. So just on digital banking, are you seeing pressure on your active user base kind of given some of the tough macro backdrop, I guess, across regional banks? And then are you seeing any emerging trends developing? And then, can you also expand on the kind of the new deals that were signed? Were they competitive wins, renewals and any nice momentum you're seeing there?
Mike Hayford: Yes. Thanks, Paul. On the first question around some of the impacts taking place in regional bank, I think, we did this a couple of months ago and on some of these things first hit, we literally looked across all of our businesses, including digital banking, self-service banking and based on the banks that were at risk or being impacted, it's really not a material number to us. On the digital banking side, at least what we've seen so far, it's not an impact at all. So there's a little bit here and there, but it's not -- doesn't even add up to anything meaningful. We'll watch it like we have in prior years, but we always look at a situation like this, even what's going on. Those accounts are still out there for small businesses consumers and they're going to end up somewhere. We have such a strong market share that we would expect even with some shifts that will end up in a good place. So at this stage we're not concerned about that at all. On your second question, competitive nature yes, everything we do right now is competitive. The nice one for us SECU, not that meant at the rest were nice but that is a very large one, very competitive, second largest credit union in the country over 2.5 million accounts. So very meaningful. We're excited to help them on their digital journey. And really change how they engage with their clients. And I think everybody showed up to compete there. We're very excited that we won on that particular deal.
Paul Chung: Okay. Great. And then on the ATM side, are you still seeing regional kind of remain engaged and then given some pressures going on with your nearest competitor – can you expand on kind of the competitive environment there? And then separately, what is spurring some of these are larger ATM as a Service deals from some of these customers. as well. Thank you.
Mike Hayford: Yes. I mean I think in the first part competitively and maybe what's happened with some of our competitors in the self-service banking. We chose a number of years ago to invest for growth to build out our products, build out our services, to be the best in the industry, build out our software to be the best and have industry-leading hardware. And it's showing up as Tim said, it's a little stronger than we anticipated so far this year. We expect it to be strong for the full year. And we're continuing to win in the marketplace on the ATM, the ATM as a service strategy that we embarked on almost two years ago where we said, we do believe that this is a leverage business where if you can do it at a better price point and you can do it at scale, not only across the country but across the globe that there's an opportunity here to drive a really strong business and take a business that maybe is a little bit lower growth and turned into a pretty high-growth business. And we really are seeing that the desire to outsource and have somebody else who can deliver at a better quality and better service level, which we believe we can again because of scale because of the Allpoint network because of our capabilities coupled with Cardtronics. It seems to be playing on the market. I think the team is very excited. Every year they clear off – every quarter they clear up a bunch of their sales pipeline and turn it into deals and then they build more backlog in the marketplace with demand. So we're excited about another good quarter. And quite frankly I think we're looking forward to the whole year here with ATM-as-a-Service continuing to expand.
Paul Chung: Great. Thank you.
Operator: And our next question will come from Charles Nabhan with Stephens.
Charles Nabhan: Hi, good afternoon and thank you for taking my question. Tim, David, congrats on the appointment. So I wanted to ask about the capital structure. You talked about refinancing a couple of your notes recently and I know the credit markets are a huge variable but could you speak to your intentions with regard to the capital structure going forward? 
Tim Oliver: Sure. We've talked a lot about delevering getting ready for the spin. We've not deployed that cash yet. We've used to pay the revolver down thus far because the revolver rate is not that different from our long-term rate. That said, there are – as you know there are two bonds we will have to take out. If those trade at a point we think it's a good trade for us to go take them out in advance of the transaction and we feel sanguine about the transaction, we're likely to go out and buy some of those bonds in the open market. I'd love to go after some of the converts. As you'll recall we have $275 million of converts out there still, they're expensive. We've just not yet seen anybody show us ask to make economic sense. So all of the cash you're generating now is to delever to get us ready for the spin.
Charles Nabhan: Got it. And just as a follow-up, if I was to think about the range of cash flow guidance. In your mind, what are the biggest variables that would take you either from the high end of the range to the low end of the range? I know there's a lot of moving parts in the business but just curious how you think about the variables with respect to cash flows?
Tim Oliver: Working capital was the biggest one coming into this quarter, but we did a hell of a job. We generated $150 million in working capital in a singular quarter and it allowed us to outpace the $500 million high end of this range. So having done fully half of the low end of the range in the first quarter of the year, I feel very good about the high end of this range.
Charles Nabhan: Got it. Thank you. Appreciate the color.
Tim Oliver: Sure.
Operator: And our next question will come from Matt Summerville with D.A. Davidson.
Matt Summerville: A couple of questions. Tim you mentioned some numbers around ATM transactions withdrawals, et cetera. If you could maybe go over those again I couldn't write them down fast enough. And maybe talk about what you feel is driving that? Because I would imagine that comes to many as being a bit counter intuitive to see that kind of growth in that kind of resurgence?
Tim Oliver: We've been a big believer in cash all along. Others have tried to talk us out of it. We felt good about the volume of transactions for some time. In this quarter, ATM withdrawals and cash expense were at a six-year high. ATM withdrawals were up 6% year-over-year. And importantly the amount of cash withdrawn per transaction was up another 13% year-over-year. So think about almost a 20% increase in the amount of cash we spent in the quarter. So we feel very good about both our fleet and the efficiency of that fleet and the behavior the consumer behavior we're seeing. I'm sorry, as things get tighter from an economic perspective and if we go into a recession things like cash and debit cards are inferior goods and you'll see much more use of those rather than credit cards.
Matt Summerville: Yeah. I completely concur with everything you said there. Maybe spend, if you guys could a few minutes on the self-service banking business. Can you do a regional walk through between the four parts of the world what you're seeing on the ground from a demand standpoint maybe where you're seeing greater uptake from an as-a-service standpoint? And then maybe just comment on self-checkout flat. I think it was an LTM metric that you guys shared. What's your view on that business for the full year? Thank you.
Mike Hayford: Let me -- this is Mike. I'll start with self-service and I want to Tim can jump in with any color. I think again just overall as Tim pointed out the first quarter started out a little stronger than we had anticipated. And as we look at the outlook for the year, it feels a little firmer, a little stronger than maybe he had even anticipated what we shared with you last quarter. And that's self-service banking in total and also our shift to ATM as a service. Our shift to a service as I point out mine numbers that cost the three points of growth. across the board on the shift to subscription. So not only ATM service, but the others just to subscription. So we would have been at 7% adjusted growth instead of 4%. Regionally, I don't know that there's a region that's more or less impacted. They're all doing pretty well. We've seen pretty good strength in North America. The ATM-as-a-service uptake. We had a couple of nice deals in India last year. We did a really nice deal in the U.K. with Santander. We're seeing a lot of movement in the U.S. a lot of deals a lot of pipeline activity. We had anticipated to be more of muni banks and credit unions and we're seeing quite a few super community and regional banks that we have conversations with and then again some very large global banks like Santander. So, again, I think that business is doing better than we anticipated, but everything we expected in terms of that shift to ATM-as-a-Service. 
Owen Sullivan : Yes I think the -- this is Owen. The other comment I'd make is all of the regions to Mike's point are really performing well. We're seeing a pretty significant update in the North America market, which for us is our strongest margin market. And so we're seeing really good momentum there. Our pipeline stepped up as fast as faster than we anticipated. And as we have closed a number of deals we announced several of them including things like First Citizens Bank, which was an $80 million plus deal. We are keeping the pipeline -- sales pipeline as big as it's been throughout all of last year. So we're converting the pipeline. We're getting really good backlog -- but we're also we benefited -- a year ago we had a tough quarter everybody did supply chain cost escalated, but our teams did a great job in value engineering expensive parts out we have renegotiated a lot within our supply chain. And as you all recall we did not miss a customer commitment throughout all of last year. The supply chain that we're operating with has held up -- we are seeing costs come back down into the ranges pre first quarter of last year. So we have a very healthy supply chain partnership -- we're getting margins. You'll see that in the gross margins. And as we continue to convert to the as-a-service model despite the headwinds that they create on revenue we're really building a very, very strong recurring business with the ATM-as-a-service. So we're feeling pretty bullish across all the shifts to the ATM-as-a-service.
Tim Oliver : And so if you run that math out from what we thought just 90 days ago when we gave you guidance for the full year, we presumed $150 million of impact from shifting hardware to as-a-service over the course of the year which would have been about seven points of growth on that total business. So we talked about a 3% decline in revenue for the full year for that business. I actually now think we'll not only exceed the $150 million, which would put more pressure on top line, but we're also going to get back to flat for the full year. So order book is strong, business is doing great, and the outlook is better. 
Matt Summerville: Yes. Thank you.
Operator: And our next question will come from Ian Zaffino with Oppenheimer. 
Ian Zaffino : Great. Thank you very much. Great job on the cash flow side this quarter. How do we now think about the cash flow cadence, because typically you got many in the back half now you're seeing it earlier on. Maybe walk us through how you're thinking about the cadence? Were there levers that you pulled in this quarter that you may not be able to pull again? I'm just trying to understand it because it's like I said fantastic free cash flow in the quarter. I'm just trying to get my arms around it. Thanks. 
Tim Oliver: Yes. We some of the line items and free cash flow are zero some, right? You can only reduce working capital so far. We underperformed in working capital last year. And so we had some dry powder coming into the year and we suggested we were likely to overachieve in the first quarter on a more linear -- against a more linear expectation for some. I think the second quarter is a given guidance of $50 million of free cash flow on some $4 billion of working capital out there in various forms. $50 million isn't a huge percentage. I feel good about that number and we could be on either side of it a little bit. But think about being halfway to the $500 million goal at the midpoint of the year. with considerably more profitability in the latter half of the year than the first half of the year and similar spending levels I think we'll be able to do very well in the second half of the year. So, I think we'll be halfway home through the first half and we'll have a good second half as well. 
Ian Zaffino: Okay, great. Great job there. And then also on the dis-synergies I know you touched about it a little bit. I mean if you were to kind of think about it or maybe bucket the dis-synergies or maybe quantify kind of what the synergies are. I don't know if you could address that right now, or is that something we have to wait for as you get the Form 10 filed? But any additional color that you could give us even now you did give us some good color in the prepared remarks? Thanks. 
Owen Sullivan: Right. I think that the numbers that we had talked about even as early as last December was we were looking at $80 million to $100 million of dis-synergy costs -- that cost actions that we set in motion last fall we believe will offset those. We also have -- we'll benefit from those actions and you're starting to see that come through. in the margin especially the gross profit margin. So, we feel pretty good as we're going through this. We've talked a lot about where we are in the separation process. And we are a long way into that process. So, we're getting even better color and visibility into those dis-synergies. And I would say that ballpark we gave you is holding up as are the offsetting cost savings. 
Tim Oliver: For sure. The parking lot of ideas that can be acted upon let's say day two of the separation gets longer every day. We're not going to make a tremendous amount of change in it as we go into the spin. But once separate, there are cost actions on both sides of the house that ought to be accretive at that point in time. So, I agree with Owen, $80 million to $100 million of what we thought. That's seems to be coming true. And we don't anticipate that being additive to the cost structure of the two companies going forward we'll have ways to offset that. 
Ian Zaffino: Okay. That’s great color. Thank you so much.
Operator: [Operator Instructions] And our next question will come from Matthew Roswell with RBC Capital Markets. 
Matthew Roswell: Yes. Good evening. It's Matt Roswell taking in for Dan Perlin. I guess, if we could take -- if we look at the hospitality unit any thoughts on kind of trends through the quarter into April? And then what's been the recent demand for Aloha given that some of your competitors have been aggressive especially at kind of the lower end of the market?
Tim Oliver: Most of the growth in that business actually was in recurring revenue, which suggests that Aloha is competing very well both at SMB and an enterprise level. That business was a little challenged on the hardware side that the post-COVID balance we experienced last year on POS in hospitality really void revenue last year. In the absence of that we're still growing through it. And more than all of the growth this quarter came from recurring revenue streams. 
Matthew Roswell: Okay. Thank you very much.
Tim Oliver: Yes.
Operator: Thank you. And that does conclude the question-and-answer session. I'll now turn the conference back over to Mr. Mike Hayford for any additional or closing remarks. 
Mike Hayford: Thanks. Just a couple of closing thoughts. First, we're off to a really good start in 2023 and we're excited in particular as we head into a very important year for us. The cash flow success in the first quarter coupled with the cash flow that we drove in the fourth quarter so $400 million in two quarters against the target we had of $500 million to delever creates a lot of confidence in our team that we can get to the spin with the balance sheet at the right leverage ratio. Secondly, the activities around the spin that was planned to be completed early in the fourth quarter of this year are on schedule and on track. The teams are performing well. And lastly, as you saw from the announcement today we've announced the leadership of the spin. Again I want to add my congratulations to Tim and David. I know Owen will join me in this. We're excited that they're going to take over the reins and take us forward to execute the strategy and take care of us as shareholders. So we're really excited about you guys taking over and again congratulations. So with that we'll give you an update next quarter. Thank you. 
Tim Oliver: Thanks all. 
Owen Sullivan: Thanks.
Operator: Well thank you. That does conclude today's conference call. We do thank you for your participation. Have an excellent day.